Operator: Hello, and welcome to the Wolverine First Quarter 2017 Earnings Results Conference Call. All participants will be in listen-only mode. [Operator Instruction] After today's presentation, there will be an opportunity to ask questions. [Operator Instruction] Please note, this event is being recorded. I would now like to turn the conference over to Chris Hufnagel. Mr. Hufnagel, please go ahead.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: Thank you, Keith. Good morning, and welcome to our first quarter 2017 conference call. On the call today are Blake Krueger, our Chairman, Chief Executive Officer and President; and Mike Stornant, our Senior Vice President and Chief Financial Officer. Earlier this morning, we announced our financial results for the first quarter of 2017. The release is available on many news sites or can be viewed on our corporate website at wolverineworldwide.com. If you prefer to have a copy of the news release sent directly to you, please call Tyler Deur at 616-233-0500. This morning's press release included non-GAAP disclosures, and these disclosures were reconciled with attached tables within the body of the release. Comments during today's earnings call will include some additional non-GAAP disclosures. There's a document posted on our corporate website entitled WWW Q1 2017 Conference Call Supplemental Tables that will reconcile these non-GAAP disclosures to GAAP. The document is accessible under the Investor Relations tab at our corporate website, wolverineworldwide.com, by clicking on the Webcast link at the top of the page. Before turning the call over to Blake to comment on our results, I want to provide some additional context and information. As communicated during the company's fourth quarter earnings release, beginning in 2017, the company's fiscal year will be comprised of three 13-week quarters and a 13- or 14-week fourth quarter first prior to fiscal 2017, a 12-week quarter for the first three quarters, and a 16- or 17-week quarter for the fiscal fourth quarter. When speaking to revenue, Blake and Mike will primarily refer to underlying revenue, which adjusts for the impact of foreign exchange, the impact of an additional week of operations, and excludes revenue from store closures and the exited Cushe business. We believe underlying growth best reflects how our global businesses are performing in the marketplace. In addition, we'll be providing adjusted financial results, which exclude restructuring and impairment costs, non-recurring organizational transformation costs, constant currency results, and the impact of an additional week of operations. In addition to these adjustments of the type the company has made in recent periods, adjusted operating income and adjusted earnings per share in this release are further adjusted to exclude incremental inventory markdowns related to 180 stores that are now closed under the management's previously announced 2016 store restructure plan. In light of the large scale of closures and the compressed timeframe, management believes this treatment gives investors a better view of continuing operations. You can find tables reconciling these disclosures in our earnings release and on our corporate website. I'd also like to remind you that predictions and projections made during today's conference call regarding Wolverine World Wide and its operations are forward-looking statements under U.S. securities laws. As a result, we must caution you that, as with any prediction or projection, there are a number of factors that could cause results to differ materially. These important risk factors are identified in the company's SEC filings and in our press releases. With that being said, I'd like to turn the call over to Blake Krueger. Blake?
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Chris. Good morning, everyone, and thanks for joining us. Earlier this morning, we reported first quarter revenue of $591.3 million and adjusted earnings per share of $0.37, both better than we anticipated entering the new year. On a constant currency basis, adjusted earnings per share grew nearly 30% over last year, very good performance given the continued tepid consumer environment and challenging conditions at retail. Based on the strong start in our outlook, we are raising our adjusted earnings guidance for the year. In addition to delivering strong results to start the year, we continue to make excellent progress on our enterprise wide strategic transformation initiative, the WOLVERINE WAY FORWARD, the most comprehensive transformation effort in our company's long history. During the quarter, we took steps to better position our portfolio of industry-leading brands for the changing marketplace, accelerated our store closure program, and continued to optimize our global operations platform. I'm also pleased to report that we remain on track to achieve our target of attaining 12% adjusted operating margin by the end of 2018. Our team's hard work over the past year is already yielding meaningful results. We've accelerated our efforts to leverage deep consumer insights to amplify our product innovation and compelling storytelling, both critical drivers of sustained growth. Future growth will require agility and deep consumer connections in the face of what we are calling the new normal, a global slow to no-growth environment, challenging retail marketplace, and shifting consumer expectations. Despite these continuing realities, our go-forward strategy is already yielding positive financial results. For today's call, I'll briefly review the performance of our brand groups and provide a more in-depth update on the WOLVERINE WAY FORWARD. Mike Stornant will then provide additional detail on the first quarter financial results and our operational excellence initiatives. And we'll discuss our updated outlook for the remainder of 2017. Reviewing our brand groups' performance, starting with the Wolverine Outdoor & Lifestyle Group. Underlying revenue was up 0.1% compared to the prior year, with Merrell growing low single-digits, Chaco posting very high single digit growth, Cat up mid single digits, and Hush Puppies down mid-teens. Merrell saw broad-based growth in the quarter, growing in the U.S., Canada, Latin America and Asia Pacific. Stores and e-commerce also contributed to a solid quarter, with e-commerce up over 20%, which helped to offset some headwinds associated with bankruptcies and store closures in the domestic marketplace. The new Moab 2 and the Nature's Gym collection both drove growth in the performance outdoor category. And the launch of the new Merrell Work program was very well received at retail. We expect these product initiatives to gain additional traction and placement in the coming months. The launch of the Chameleon 7 collection, one of the brand's largest franchises; and the new MQM collection, featuring Pinnacle innovation to enable agile movement in rugged terrain, is expected to contribute to the continued momentum in the performance outdoor category in the back half of the year. The active lifestyle category continued to be challenging in the first quarter, although the rate of decline was significantly lower than the last couple of quarters. This category remains an important opportunity and focus for the team going forward. The brand's product innovation pipeline is as strong as I've ever seen it, and I'm encouraged by Merrell's start to 2017. Moving to the Wolverine Boston Group. Underlying revenue declined 9% versus the prior year, slightly better than we expected, with Sperry down low-double digits, Saucony down mid-single digits, and Keds down mid-teens, as that brand continued to implement its new distribution strategy by selectively reducing points-of-sale and exiting certain distribution in the U.S. marketplace. Sperry performed better than anticipated entering the quarter, with strong growth in own DTC operations, especially e-commerce, which grew over 20%. Although Sperry took market share in boat, that category remains pressured in the current fashion cycle. The Sperry team continues to shift product focus and efforts to be less reliant on the boat shoe category. Sperry boots performed well in Q1 despite market challenges for the boot category overall in the quarter. The strong performance of more athletic styles like the Crest and the Seaside also contributed to the better-than-expected Q1 revenue results for Sperry. Sperry continues to diversify its product category assortment with more athletic designs, vulcanized styles, and new collections like 7 SEAS, which sold then very well in the quarter. Sperry's boot program has been one of the bright spots in the industry over the last couple of years, and the brand will build on this success with the introduction of new men's and women's collection this fall. An expanded Gold Cup Collection is also in the works. Saucony also performed better than expected in Q1 given the impact of bankruptcies and store closures in the broader athletic and sporting goods sector. The brand's core technical run business was up more than 10%, behind the success of new introductions under the Freedom ISO and Guide franchises, both with EVERUN technology. This success was offset by softness in the originals category as some international distributors remained focused on reducing their inventory positions in this category. Although bankruptcies and store closures persisted in the quarter, Saucony continues to deliver groundbreaking product innovation in both the technical run and at leisure categories. Looking ahead to the remainder of the year, Saucony has a robust pipeline of new product introductions in both of these categories. In closing with the Wolverine Heritage Group. Underlying revenue was nearly flat, down 0.4% compared to the prior year, with Wolverine up high-single-digits, fades down double-digits. The base performance is driven by lower demand in the quarter from the Department of Defense and delayed timing of contract awards compared to the prior year. Wolverine drove strong revenue growth across its key categories and channels in both footwear and apparel, with the wolverine.com business up nearly 30%. A steady stream of new product introductions in the core Work business drove strong Q1 performance. I'll now take a few moments and provide you with an update on our transformation. The WOLVERINE WAY FORWARD is a holistic enterprise-wide business transformation designed to rewire the company to excel in the new normal, a fast evolving consumer and global marketplace. This transformation is comprised of four critical work streams or what we call our sprint lanes. In the past quarter, we made great progress in each of these critical lanes, and I'm pleased to share some updates with you. Our first sprint lane is focused on innovation and growth. Driving sustained organic growth across the portfolio is the number one priority for the company. We're intently focused on becoming a design-led, consumer-obsessed growth company. And our recent investments in consumer insights and innovation, including the opening of our first consumer and innovation hub, are providing a real return. We are seeing the results of this investment through global trend spotting, consumer pre-lining and A/B testing, precise marketing mix analysis to assess and improve the effectiveness of our consumer engagement, speed initiatives that bring select collections to market in only 40% of the normal time, and our enhanced search digital capabilities and targeted content to drive our e-commerce business. We are also in the final stage of launching our first unified consumer database, which will allow us to know our consumers better, understand how they engage and shop our brand, and enable us to drive growth across channels in all 12 brands. I'm encouraged by the tremendous progress we've made here in a short period of time. Based on the progress made across the portfolio on our innovation and growth initiatives, we expect the company to return to mid-single-digit underlying growth in 2018. Our second sprint lane is focused on operational excellence. We are creating an organization that will be more efficient, less complicated and perhaps, more importantly, faster. The significant work the team did over the last 18 months has us well positioned for 2017. These efforts were reflected in our Q1 results. Our operational platform, which has always been a core strength of the organization, is getting stronger and executing with greater speed. Some of our most important work in the operational excellence area has been our omnichannel realignment plan, focused on closing underperforming stores and reinvesting in our fast-growing, highly profitable digital and e-commerce businesses. Mike will provide a more detailed store closure update in a few minutes. We've set up our DTC operations to be significantly more profitable in the future and provide the Pinnacle brand experience to our consumers. Our third sprint lane is portfolio management. We've always been active portfolio managers with a sharp focus on our highest value opportunity. As you know, we recently completed a strategic review of our existing portfolio, and have been exploring a variety of alternatives for several of our brands. This work is continuing, and we expect some announcements in the very near future. Our business model is fueled by a best-in-class operational platform and a broad global distribution footprint that positions us to successfully integrate new brands and businesses. We remain active in assessing the strategic fit of new brands and businesses to our portfolio as our M&A activities have historically provided significant profitable growth for the company. To this end, we're pleased to announce the acquisition of the OnlineShoes.com domain site and consumer database. Last year, OnlineShoes.com had over 35 million site visits and has a database of nearly 4 million consumers. We believe leveraging this existing traffic and consumer database will enable us to accelerate growth across our portfolio of brands. We will continue to look for new and innovative ways to drive growth, consumer connections and, ultimately, shareholder value by actively managing our portfolio. Our fourth sprint lane is people and teams. It always begins with people. I continue to believe that we have not only the best but also the deepest team in the industry. Over the past year, we've added some great new talent, and we've realigned some of our key talents to support our most important strategic initiatives and growth opportunity, including the WOLVERINE WAY FORWARD. Ultimately, the team with the best players wins, and I believe our team has never been stronger than it is today. I couldn't be more pleased with the great progress we've made already this year on our WOLVERINE WAY FORWARD transformation. This work is touching every facet of the company, and our associates are embracing the hard work that's underway. There is a keen understanding that the company has to change and evolve if we are going to achieve our bold goals of growth and profit improvement in the new normal global consumer marketplace. We have a culture of winning, and the strategies and tactics under each of our sprint lanes have created a very clear roadmap for our enterprise-wide transformation and future success. With that, I'll now turn the call over to Mike Stornant, our Senior Vice President and Chief Financial Officer, who will provide additional commentary on our performance in the quarter, as well as provide more details regarding our expectations for the balance of the year. Mike?
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Blake, and thanks to all of you for joining us on the call today. Our first quarter financial results were better than expected as the benefits from our operational excellence initiatives in 2016 begin to take hold. I'm very encouraged by the strong start and, like Blake, the incredible progress made on the WOLVERINE WAY FORWARD transformation. The transformation model that we are now deploying will reinforce our focus on the consumer, and help provide a new level of pace and urgency for our global teams. I'm excited to share some of the future opportunities and benefits that we can expect from the WOLVERINE WAY FORWARD. But, first, I'll provide a brief review of our Q1 financial results. First quarter revenue of $591.3 million was better than expected as all brands met or exceeded their revenue plans. We were pleased to see good momentum in the quarter from Merrell and Wolverine in particular. Underlying revenue declined 2%, and reported revenue declined 4.8% compared to the prior year, adjusted for an additional week of operations. As Blake mentioned, we've accelerated store closures under the realignment plan that was announced last December. Since the beginning of the year, we have closed 180 stores, and we intend to close 30 to 40 more stores by year-end. All of our Stride Rite and Track-N-Trail stores are now closed. During Q1, we incurred $9.2 million in operating losses related to stores planned to close this year, including $4.4 million of incremental inventory markdowns related to accelerated store closures. Losses for these stores will not reoccur in 2018. We have adjusted gross profit and operating profit for the impact of the incremental inventory markdowns. Adjusted gross margin on a constant currency basis of 41.7% was 120 basis points better than 2016, driven by lower product costs and supply chain efficiencies, offset by a change in mix due to fewer retail stores. Adjusted operating margin on a constant currency basis of 11% was 260 basis points better than prior year due to the benefit from actions taken in 2016, including store closures and certain organizational changes. Q1 adjusted diluted earnings per share were $0.37, and further adjusting for currency were $0.40. Despite a 2% decline in underlying revenue, we delivered nearly 30% adjusted constant currency earnings growth compared to last year. We incurred $30 million of discrete costs related to our transformation efforts during Q1, of which $13.7 million were noncash. These costs were incurred to address underperforming areas of our business, and relate to accelerated store closures and the implementation of transformation activities during the quarter. Including these nonrecurring costs, Q1 reported earnings per share were $0.17. Cash flow from operations improved by $48 million during the quarter, driven by a 26% decline in inventory. Our focus on working capital management has been very effective. We ended the quarter with $304.1 million in cash and cash equivalents, up over 92% versus last year. Our priorities for cash remain the same, drive organic growth, return value to shareholders through share repurchases and consistent dividends, pay down our debt, and pursue potential value-enhancing acquisitions. Now, I'd like to provide additional insight and detail on the WOLVERINE WAY FORWARD operational excellence initiatives that are now in progress, one of the four sprint lanes that Blake discussed earlier. During 2016, we dedicated significant effort to drive operational excellence with a focus on speed, efficiency and profit improvement. Specifically, we established an internal goal of expanding the company's adjusted operating margin to 12% by the end of 2018. During the first quarter of 2017, we launched the WOLVERINE WAY FORWARD and established several operational excellence initiatives to achieve our future operating margin goals, while reinvesting to drive growth. We are especially focused on a healthier and faster supply chain, and omnichannel transformation that addresses underperforming stores and emphasizes our e-com opportunities, and an agile operating model that will enable growth. Our global operation team continues to identify opportunities to reduce product cost and operate at a faster pace. We have initiated new work to further reduce suppliers, optimize our SKU productivity, shorten our concept-to-market process, and drive further efficiencies. The team is also piloting several speed initiatives that will drive down lead times for key programs. Our accelerated store closure plan is moving forward on schedule, with significant progress made since the beginning of the year. As a result, we will realize $20 million of operating profit improvement from these closures in 2018. We continue to build a more agile operating model by focusing on indirect spending and our global infrastructure. We believe we can harvest meaningful savings here that can be reinvested into future growth opportunities. The full benefits from these incremental operational excellence initiatives are still being developed. However, our current line of sight gives us continued confidence that we will achieve our stated 12% operating margin goal by the end of 2018. I would like to transition to our revised outlook for the balance of 2017. We remain cautious in our view of the global macroeconomic and retail environment. Specifically, we anticipate global demand for consumer soft goods to remain tepid; the U.S. dollar to remain relatively strong, negatively impacting product costs in most international markets; and the retail environment to remain challenged, especially in the U.S. with certain channels facing continued pressure due to the potential for additional bankruptcies. As a result, we are reaffirming our reported revenue outlook for fiscal 2017 in the range of $2.27 billion to $2.37 billion, essentially flat underlying revenue with 2016. This represents a reported revenue decline in the range of approximately 9% to 5%. Currency and store closures are expected to impact revenue by approximately $160 million to $180 million, resulting in 2017 underlying revenue to be in the range of down 2% to up 2%. During Q1, we saw an improvement in adjusted operating margin, driven in large part by the benefits from our 2016 operational excellence activities. We expect to recognize further improvement in the second half of the year related to these efforts, as well as early benefits from the WOLVERINE WAY FORWARD initiatives. We now expect full-year adjusted operating margin in the range of 10.2% to 10.7%. As a result, we have raised our adjusted earnings guidance with full year fiscal 2017 adjusted diluted earnings per share now expected in the range of $1.50 to $1.60, which includes the negative impact from foreign currency of approximately $0.08 per share. On a constant currency basis, adjusted earnings per share are expected to be in the range of $1.58 to $1.68, growth of 16% to 23%. Our strategic transformation initiatives are planned throughout 2017, and these efforts are now estimated to include approximately $115 million of discrete costs, of which $25 million are noncash, with over $70 million for store closures and associated inventory markdowns. Other related costs include consulting and organizational transformation costs. Given these adjustments, reported earnings per share are expected in the range of $0.73 to $0.83. The change in our quarterly calendar, accelerated store closings and other factors have all impacted the quarterly flow of revenue and earnings for this year. So, before closing, let me provide some additional direction. Based on the timing of store closures and insights from the phasing of our order book, we now expect a fairly consistent flow of revenue by quarter, with approximately 50% of total revenue in the first half and 50% in the second half of 2017. We expect adjusted operating margin to improve about 50 basis points versus the prior year in Q2, with progressive improvements in Q3 and Q4 as benefits from the WOLVERINE WAY FORWARD and transformation are realized. For Q2, we now expect earnings per share in the range of $0.27 to $0.30. The WOLVERINE WAY FORWARD has created a strong platform for our team as we work to rewire the company to succeed in the new normal. Our diversified brand portfolio remains strong. Our biggest brands continue to make excellent progress towards returning to growth, with specific emphasis on accelerating our e-com business. Our operating platforms are stronger than ever, and our global network of partners remains one of our key strategic advantages. Although headwinds persist, we like our global competitive position, and believe we are poised to accelerate innovation, deliver earnings growth, generate healthy cash flow, and return value to our shareholders. Thanks for your time this morning. We will now turn the call back over to the operator. Operator?
Operator: Yes. Thank you. We will now begin the question-and-answer session. And the first question comes from Edward Yruma with KeyBanc Capital Markets.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Hi. Good morning, guys, and thanks for taking my question.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: First, on the WOLVERINE WAY FORWARD, as you guys dimensionalize this and rewire your business, longer term, do you think the benefits are going to be driven primarily on the top line or should we see the kind of continued margin improvement that your 2016 cost reduction plans are kind of driving?
Blake W. Krueger - Wolverine World Wide, Inc.: We really think it's going to happen in both areas, especially shorter term on the bottom line. But, frankly, we've been working hard the last couple of years to create more robust innovation and product pipeline for each of our brands. And we're starting to see some of the benefits of that already, some of the investments we made over the last 18 months in particular. So, we think it's going to contribute to both top line and bottom line. I would also say that our bottom line goal for next year, by the end of 2018, to hit a 12% adjusted operating margin is really not tied to any kind of significant organic growth in 2018. So internally, we've tried to separate those concepts. Although we do believe we're going to return to a fairly decent growth in this environment next year, we've tried to stay separately focused on our goals there.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Got it. And one housekeeping question, if I may. I noticed you guys called out kind of incremental markdowns for some of the store closures, and I think you removed that from the non-GAAP earnings. I guess, did you also remove the kind of corresponding revenue? And as you guided, are you also excluding some additional markdowns that are non-store-related going forward? Thank you.
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. No, we – the revenue from those stores is included in the results. We called out the incremental markdowns. Just the pace of those closures and the finality of, certainly, the Stride Rite and Track-N-Trail concepts put us in a position to really have to accelerate some of the inventory liquidation there. Unusual, I guess, based on our normal cadence of store closures. So, we adjusted out just the inventory markdown impact in Q1. We'll have a similar impact in Q2, and then that will be behind us. But it's a relatively small amount compared to the amount of inventory that we were able to liquidate through the process.
Edward J. Yruma - KeyBanc Capital Markets, Inc.: Great. Thanks so much.
Blake W. Krueger - Wolverine World Wide, Inc.: Great. Thanks.
Operator: Thank you. And the next question comes from Jim Duffy with Stifel.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Thanks. Good morning, guys.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning, Jim.
Michael D. Stornant - Wolverine World Wide, Inc.: Hi, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Two questions for me. First, the 180 stores, that's a lot of stores to close year-to-date. Is that ahead of pace relative to your expectations or is that in line with what you have anticipated as you entered the year?
Michael D. Stornant - Wolverine World Wide, Inc.: Well, we called out back in February that we had line of sight to close about 104 stores. So you can imagine the work and the effort on negotiating the additional stores. The team did an amazing job to kind of line that up. And even though we had intentions to get through the store fleets at the level we did, we certainly didn't have line of sight to that in February. So, the 180 stores certainly were closed on an accelerated basis. And as I mentioned, we have about 30 or 40 that are going to continue to run out through the balance of the year, some of them on normal lease expirations and some will close at year-end. But that was about twice as many as we've kind of guided to at the beginning of the year, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. That leaves me my next question. What's the impact of revenue from accelerating those store closures? Is there some consequence from that, that's contemplated in your guidance, and where do you see yourself making that up elsewhere?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I mean, we had a range in our guidance for that. I think fundamentally, there's a small amount of revenue that by pulling some of those closures ahead, I'd say it's probably $10 million to $15 million at the most related to the accelerated stores that we didn't necessarily anticipate in our revenue guidance, but not fundamentally different. Some puts and takes in the revenue overall, including some upside in the latter part of the year from our international business, but fairly small. So really, not a big impact on the revenue side, Jim.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. And then, Mike, a step-up in the one-time charges implied in the spread between the GAAP and non-GAAP guidance, more than $70 million. Can you put some shape around that, please?
Michael D. Stornant - Wolverine World Wide, Inc.: Sure. Yeah. First it's really related to our ability to get clarity around the additional store closures. So, starting the year, we had 104 in the estimate for non-GAAP costs, about 104 store closures that we had line of sight to. Obviously, now, that's closer to 220 stores, so a big increase there as we were able to negotiate through the closing process with landlord. And then we finalized our transformation initiatives in the middle to latter part of Q1, which included setting up our own transformation office. We've got a professional consulting firm onboard now to support our efforts here, to accelerate the benefits around the WOLVERINE WAY FORWARD. Those were all in process when we provided our early guidance there. So, those are the two big changes. All discrete costs, all costs that we expect to incur this year that won't recur, obviously, next year. But really important for us to achieve the accelerated benefits that we want to get into 2018 from all these key initiatives.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. And then my last question, I think you mentioned that $25 million of the charges are noncash.
Michael D. Stornant - Wolverine World Wide, Inc.: Right.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: What's the outlook for free cash flow inclusive of the impact of all the cash-related charges?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. We're – our free cash flow this year will be obviously a bit lower than last year because of the $90 million result from these charges. But our free cash flow delivering about $150 million to $170 million range for the year.
Jim Duffy - Stifel, Nicolaus & Co., Inc.: Okay. Thanks for that, guys.
Operator: Thank you. And the next question comes from Jay Sole with Morgan Stanley.
Jay Sole - Morgan Stanley & Co. LLC: Great. Thanks so much. Blake, you kind of gave us a lot of great detail on the four lanes. Can you talk to us about just the path to get from the 10-ish range that you're at, at operating margin right now to 12%? What are the main buckets and like what – how many basis points from each bucket will contribute to getting to 12%?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah, it's pretty – this is Mike, I'll take that question. It's pretty consistent with what we kind of laid out in our original guidance. I mean, when we look at the path from 10% to 10.5% and the 12% run rate that we expect coming out at 2018, it's really going to come out of the same categories. Supply chain continues to be an ongoing opportunity for us. And even though we've made amazing progress so far this year, the team is even more focused there. I think the opportunities now go beyond the normal activities, and really focus on engineering and developing a more nimble supply chain with a focus on SKU management and some other things. We think about half of the overall benefit in 2018 will still come from the supply chain. We only got about half of the benefit from our store closures in 2017. So, another $10 million is going to come from that improvement in 2018. And then, we continue to look at the organizations, some of the indirect spending areas that we can be leaner and meaner on. It really comes from a variety of areas there. But, obviously, supply chain and store closures are the big drivers. And then, the other thing that I would say, it's really important to appreciate the magnitude and the breadth of the WAY FORWARD initiatives. I mean, it really – it's touching every part of our business, all global campuses. And so, the effort here by the team on the first quarter or so of activity has been pretty amazing to really uncover additional opportunities. We don't expect to take all of these savings to the bottom line, and we have a pretty robust plan to reinvest what we've been able to harvest so far and what we will harvest as we move into 2018. And we're still developing all that, so we'll be able to give more clarity on that in the future. Okay? But right now, we have a pretty high level of confidence as we're starting to see this materialize.
Jay Sole - Morgan Stanley & Co. LLC: Got it. And then – that's super helpful. Now, on inventory, you talked about how sales were impacted by store closures, and you kind of gave an adjusted sales number and an underlying sales growth rate. On inventory, how much of the decline in inventory is just being impacted by the store closures and how much of it is just clearing through aged goods? If you could give us a sense of like what the growth in inventory would look like on a normalized basis, and then given the extra store closures that will be happening over the rest of the year, how you see inventory growth trending as we go through 2Q and into 3Q and 4Q, that would be super helpful.
Michael D. Stornant - Wolverine World Wide, Inc.: It's a good question. So, at the end of the year, we were in a high-20% decrease in inventory than at the end of Q1, and we were down again 26%. It's really coming from sort of both channels. Our stores, obviously, having a positive impact to closure stores, a positive impact on inventory. But all of our wholesale businesses are also seeing a similar decline. I will say that we've taken advantage of some of the store closures to move some aged inventory out of our wholesale warehouse. But ultimately, we're seeing that kind of discipline and improvement really across the business. And as we continue to drive SKU productivity going forward, we expect to be able to be even – be able to drive inventories down even further by the end of the year.
Jay Sole - Morgan Stanley & Co. LLC: Great. Thanks so much.
Operator: Thank you. And our next question comes from Chris Svezia with Wedbush.
Christopher Svezia - Wedbush Securities, Inc.: Yeah. Hi. Good morning, everyone.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Christopher Svezia - Wedbush Securities, Inc.: I guess the first question I have is just on the – I'm trying to sort of understand something with regard to the inventory and what is in the first quarter numbers in terms of store closures, I guess, specifically.
Blake W. Krueger - Wolverine World Wide, Inc.: Sure.
Christopher Svezia - Wedbush Securities, Inc.: So, of the $4.4 million that, I think, you're taking out of non-GAAP numbers, is that just related to more aggressive inventory reductions that you took or does that also take into effect the over 100 Stride Rite stores that you actually closed?
Michael D. Stornant - Wolverine World Wide, Inc.: It's all related to the stores that are already closed now, and it's really the kind of accelerated timing of doing that and having to kind of clear out the store inventory at a faster pace. We just didn't have the normal cadence to our store closure strategy this year, and so we had to take some additional markdowns. But that's all related to stores that were in closing mode during the first quarter.
Christopher Svezia - Wedbush Securities, Inc.: Okay. So, it's not in addition to something you did more aggressively. It's just, in aggregate, all those stores closing...
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah.
Christopher Svezia - Wedbush Securities, Inc.: ...$4.4 million was related to the inventory. Okay.
Michael D. Stornant - Wolverine World Wide, Inc.: And that would be above what we would normally incur in a kind of normal closure cadence.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Switch gears for a second. Saucony. I think in the past, you had talked about Saucony potentially growing for this year. I know you don't talk about brands specifically, but I think you alluded to the fact that you expected it to grow. Is that still the plan despite how Q1 unfolded?
Blake W. Krueger - Wolverine World Wide, Inc.: Yes. We currently plan for Saucony to grow this year. I would say virtually all of the Q1 decline was directly related to the bankruptcies we all know about in the athletic and sporting goods sectors for Saucony. Those – that string of bankruptcies probably had the biggest impact of all of our brands on Saucony, and then after Saucony, probably Merrell. So, when we look at the Saucony product innovation pipeline, we anticipate some pretty good performance of the remainder of the year.
Michael D. Stornant - Wolverine World Wide, Inc.: They were ahead – Chris, they were ahead of plan in the quarter. We were just comping up against a good quarter last year before those bankruptcies really took effect. So, the run rate for the rest of the year is certainly on schedule, and we're comfortable that Saucony is in a strong position.
Christopher Svezia - Wedbush Securities, Inc.: Okay. And then, Blake, you made some comment earlier about mid-single-digit growth potentially organically as we think about 2018. I'm sure that does take into consideration any residual impact from store closures. But what – looking – given the environment, looking that far forward, what would give you the level of confidence to make that observation? What are either some of the just primary or basic sort of drivers, thought process, changes in channels, in distribution, whatever the case might be that kind of gives you that comfort level?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I would say a couple of things. First of all, the last 18 months, couple of years, we put a lot of work in behind the seam on our product pipelines for our various brands. So, we have pretty good insight into what is coming down the road for Merrell, for Sperry, for Saucony, and certainly, all of our largest brands. So, that gives us a great deal of confidence, especially the take-up on the new product introductions in Q4 of last year and Q1 of this year. I think the other thing that gives us some confidence is about half of our pairs are sold offshore. So, last year was an interesting year. Last year was the year when our international business held serve, I would put it in that context. And we kind of anticipate that again this year. As we travel the world and talk to all of our international distributors, most of whom will be in here in just a week for our international sales conference, a lot of their countries are doing okay. I would say today, the weakest country and channel around the world probably is the U.S. wholesale channel, in consumer soft goods in general, not just in footwear. So, we think our balance of domestic and international business puts us in a pretty good position, and we still have of – despite our broad geographic reach, we still have plenty of opportunities around the world.
Christopher Svezia - Wedbush Securities, Inc.: Okay. Thank you. And final thing here just real quick. Just, Mike, for you. Things like the tax rate for the year being in the high 20s, interest and other being in the $29 to $33 million, and I think share count 95 to 96 million shares, will still hold. Is that correct?
Michael D. Stornant - Wolverine World Wide, Inc.: They'll hold. Yeah, that's correct.
Christopher Svezia - Wedbush Securities, Inc.: Okay. All right. Thanks very much, guys.
Michael D. Stornant - Wolverine World Wide, Inc.: Okay. Thanks, Chris.
Operator: Thank you. And the next question comes from Corinna Van der Ghinst from Citi Research.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc.: Hi. Good morning, thank you. Mike, your comments on cadence for this year were really helpful. Thank you for sharing that. Can you guys give us a sense of what your order book currently looks like for fall and how you're expecting Sperry boot penetration to compare to last year?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, I mean, we really don't give that metric any more in any great detail. I guess, I can say that our order book has been improving gradually over the last three or – a couple quarters. So, there's been a steady – there's still a lot of volatility. Retailers are playing it close to the vest. The see now, buy now not only applies to consumers, it also applies to retailers. And we've had a couple of warm winters in a row, so – and we all know that the U.S. is over stored. And so, retailers are being conservative, but we've seen a gradual improvement in our order book over the last couple of quarters.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc.: Okay. Great. And then just aside from the fiscal calendar change, are you guys planning to make any shifts in the timing of your orders, your shipments for this year?
Michael D. Stornant - Wolverine World Wide, Inc.: Yeah. I think there are – I mean, again, as our international business begins to ramp up, that's always going to be a stronger Q4 kind of a position for the international team. And we are seeing some of that in the order book. But I think overall, the pace of delivery of some of the new introductions for Sperry boots and even for Merrell as they kind of leverage their Arctic Grip programs, that's going to be late Q3, early Q4. So, not a lot of changes in terms of that. Obviously, we have more frequent introductions of new product coming out of both of our big brands. I think that fundamentally may change just the timing of some of the shipments into the marketplace as we bring new programs, and not unlike the new Merrell Work, a tactical product that started to hit late Q1. So, there'll be some timing shifts for things like that, but fundamentally, things are fairly stable.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc.: Okay. Great. That's helpful. And then, you mentioned that you expect some of your Merrell launches to continue gaining traction over the next few quarters, which I think is pretty consistent with your previous statements that some of the growth would be somewhat back-half weighted. So, I was just wondering, does your guidance also assume an acceleration from this low single-digit rate that we saw in Q1 for the Merrell brand? Is that into your numbers right now?
Blake W. Krueger - Wolverine World Wide, Inc.: Yes. It's all included in our estimates for the year. We expect Merrell to grow this year, probably, right now, a mid-single-digit growth, underlying growth in 2017. And it's a pretty robust product pipeline, not just the Work in tactical and – but in the Moab 2 and Nature's Gym collections, which were introduced in Q1. But you look at the new Chameleon 7 and a much expanded Arctic Grip line, the Siren collections for women, and the MGM collection. So, Merrell has a very robust product pipeline that will keep flowing from now through the end of the year.
Corinna Gayle Van der Ghinst - Citigroup Global Markets, Inc.: Okay. Thank you so much.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks.
Operator: Thank you. And the next question comes from Erinn Murphy with Piper Jaffray.
Erinn E. Murphy - Piper Jaffray & Co.: Great. Thanks. Good morning.
Blake W. Krueger - Wolverine World Wide, Inc.: Good morning.
Erinn E. Murphy - Piper Jaffray & Co.: I guess, Blake, you talked about the U.S. environment being the most challenging right now. Could you just talk a little bit more about how the channel looks from an inventory perspective, you go into the back half of the year and just maybe boots versus non-boot product?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I think, frankly, when I compare the wholesale channel in the U.S. to last year, it's in a much better position when it comes to inventory. So, inventories, retailers kind of conservative...
Erinn E. Murphy - Piper Jaffray & Co.: And you're speaking broadly, Blake, broadly...
Blake W. Krueger - Wolverine World Wide, Inc.: Yes. I...
Erinn E. Murphy - Piper Jaffray & Co.: ...you're not just speaking about your business, okay.
Blake W. Krueger - Wolverine World Wide, Inc.: Correct. I'm speaking broadly when I say that. So, that's encouraging. The entire industry is really not in the same position it was last year when it comes to inventory. We know the consumer is still out there. The consumer hasn't totally quit shopping. The consumer is looking for something fresh and innovative, and is using some different – continues to use some different channels as well. Our mobile traffic in the quarter was again up over 35%. So, you really have to be in that digital social mobile space in today's environment. So, we feel pretty good about inventory positions overall, and especially the inventory positions for our brands domestically.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then, just in the U.S. market, I mean, I know you guys probably didn't change your full year guidance from a sales perspective. Are you making any assumptions that there could be potential further bankruptcies for the sporting goods channels or other maybe independent channel that you fell into...
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. We don't...
Erinn E. Murphy - Piper Jaffray & Co.: ...or you're moving at status quo?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. We don't really see that changing. I guess that's just part of the new normal right now. We don't see that environment changing in the short term. So, we think there'll be some continued retailers that are challenged. There'll be some additional bankruptcies. One estimate on store closures that I read last week now predict, at least at this run rates, store closures this year in the U.S. to equal 2008 and 2009 combined. That's a little bit of a startling fact. Now, that's all retail. That's not just consumer soft goods or footwear, that's all retail. But, clearly, the U.S. remains in an overstored position given the changing consumer. And we, as a company, tried to adjust to that with accelerated store closures in Q1. So, we tried to take our medicine as quickly as we could possibly take it because we just thought that was the smart thing to do.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Well, I guess, I'm just a little confused, just in the guidance, though, when you think about just kind of not changing your sales guidance, are you assuming now versus where you were three months ago that there are more bankruptcies that will impact your business directly or – I'm just trying to make sure if there are certain accounts that you fell into that you're more worried about that you've effectively risked the guidance for, or are you just kind of assuming what you thought last year with Sports Authority and some of the other businesses that kind of had some derivative impacts on your kind of sales or core brands like a Merrell that, that just flow through? I'm just trying to understand what's in or not in the guidance at this point.
Michael D. Stornant - Wolverine World Wide, Inc.: Erinn, I think our visibility to all that was – and our level of conservatism was really built into our original revenue guidance back in February.
Erinn E. Murphy - Piper Jaffray & Co.: Okay.
Michael D. Stornant - Wolverine World Wide, Inc.: So, we still feel the same way. We still feel there's risk out there and there are some concern with certain channels and certain retailers, keeping a very close eye in all that. But I think we had an early read on that and already factored it into our guidance.
Erinn E. Murphy - Piper Jaffray & Co.: Got it. And then just – I know you changed your president for Sperry in the last, I think, three to four months. Can you just talk about kind of any impacts on the product that we should see over the next 12 to 18 months, when will they have an impact on the business, what we have to look forward to there just given where the trends are today?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Tom Kennedy had been with us for a little less than a year and a half before we made the move on Sperry. I would say he's a very quick mover, clearly anchored in the fashion world. And he's already, in just the last couple of months, focused Sperry – which has an excellent product team, by the way – but focused them on a wide range of opportunities in adjacent categories, casual shoes, athletic shoes, and pretty much like the move we've seen over the last couple of years where Sperry moved into boots. And so, we're going to see some very fast expansion into these other categories for Sperry. The great news there is from the consumer and the retailers, no impediment with respect to the Sperry brand whatsoever. They want the Sperry brand to be a big business for them. So we're really excited about that change.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. And then just with Merrell, any update on the president there? I think that's been a big deal, right now.
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah, we brought – yeah. As you know, we brought Todd Spaletto on board two and a half months ago, and we kind of put that on pause to get...
Erinn E. Murphy - Piper Jaffray & Co.: Okay.
Blake W. Krueger - Wolverine World Wide, Inc.: ...Todd into the business and to continue that search. We should certainly be in a position to make an announcement before next quarterly call.
Erinn E. Murphy - Piper Jaffray & Co.: Got it. And so, will he be – he's effectively looking for someone to work alongside with him for that brand specifically?
Blake W. Krueger - Wolverine World Wide, Inc.: Correct. Yes.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Got it.
Blake W. Krueger - Wolverine World Wide, Inc.: We're working together on that important position.
Erinn E. Murphy - Piper Jaffray & Co.: Okay. Thanks, Blake.
Operator: Thank you. [Operator Instruction] And the next question comes from Jonathan Komp with Robert W. Baird.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Yeah. Hi. Thank you. A bigger picture question just on the guidance for the year. I think the press release, there's a mention of the strong Q1 results plus improving business conditions. And I just wanted to ask, is that entirely focused on the cost initiatives and the timing of some of the savings from the internal actions or are you seeing some underlying improvement in the end markets for any of your brands?
Michael D. Stornant - Wolverine World Wide, Inc.: No. I think a lot of it has to do with the things that we have executed on and can deliver. But also, as Blake mentioned, I think, overall, our inventories and our customer inventory positions are in a better shape. And so, what we're seeing, and I think Moab 2 is a good example where the channel is a little bit cleaner and we can flow goods in at a more normal basis. And I think that is – we're not seeing that everywhere, but that's a good example of where we're starting to see a little bit better kind of environment for some of our brands and some opportunities. So – but fundamentally, Jon, I think the pace and the timing of the benefits that are coming to fruition through WAY FORWARD and some of the work we did last year is probably the biggest driver for...
Blake W. Krueger - Wolverine World Wide, Inc.: The bottom-line.
Michael D. Stornant - Wolverine World Wide, Inc.: ...our bottom-line guidance raise.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay. Great. And then, when you look at the year at the underlying revenue embedded in the guidance, close to flat with the range on both sides, and you started the first quarter down 2%. So, I know some of this was asked about already, but any more detail on the key drivers of the progression you see as the year progresses?
Blake W. Krueger - Wolverine World Wide, Inc.: No. I think it's pretty straightforward, Jon. I think it really related to the product flow from our bigger brands coming into the market. So, we've got pretty good line of sight to that. And both product pipelines are getting more robust every season, and it's just simply a question of the timing of the new product introductions.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay. And last one for me, and this might be getting too detailed relative to your internal goal to get to a mid-single digit top-line trajectory. I'm just wondering, is that something you're thinking about for all of 2018? Or in other words, as you exit 2017 and into early 2018, do you see a pathway to getting to that type of growth on that timeline or...
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I think it's something we're thinking of for all of 2018. I know that's a few quarters out right now. But again, we've got pretty good line of sight to our product pipelines for our more significant brands, and we feel very good about the innovation and the focus on the consumer and the market intelligence that we have for this growth around the world.
Jonathan R. Komp - Robert W. Baird & Co., Inc.: Okay. Thank you.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Jon.
Operator: Thank you. And the next question comes from Mitch Kummetz with B. Riley.
Mitch Kummetz - B. Riley & Co. LLC: Yeah. Thanks for taking my questions. I apologize, I got on the call late, so forgive me if you've already addressed this. But I'm curious, as far as Q1 revenues, what was the beat relative to plan? You guys obviously crushed the consensus number. But, Mike, if I recall it correctly, you've kind of indicated that the additional week would have been about $25 million kind of across the first three quarters and, obviously, you guys were reporting that the impact was actually $43 million. So, I'm just kind of curious how much better did you guys actually come into plan and what was the main driver there.
Michael D. Stornant - Wolverine World Wide, Inc.: Well, I mean, the important – I think the important outcome, we had over performance from just about everybody. Our stores – yeah, I will say just the acceleration of some of the store closures added a little bit of additional revenue that we weren't anticipating because we were able to get into that closing mode a little faster, and we obviously accelerated the liquidation of inventory there. That was a small impact. I mean, Merrell was a big driver. Sperry certainly over delivered. It really was across the portfolio. So – and, typically, we obviously monitor the sort of the timing of pull-aheads and things like that. There were really not any major intentional pull-aheads or anything like that, that had any major impact on revenue in the quarter. It was just good performance.
Mitch Kummetz - B. Riley & Co. LLC: Got it. Okay. And then, secondly, Blake, you already talked about this. You said the channel inventory is looking a lot better than a year ago. You guys obviously aren't giving us kind of what the order book is, but I think your comments also suggest that even though there's been sequential improvement, that retailers are still being pretty cautious in terms of how they're writing orders. So, I'm just curious, like, what's the reorder assumption kind of in – well, particularly in the fourth quarter. It would seem that with channel inventories clean and retailers cautious on orders that, that could set up for a good fourth quarter in terms of reorders. And I'm just wondering kind of how you're thinking about that, sort of what's the assumption that's embedded in the guidance. And I guess as a follow-up to that, I think historically, you've talked about kind of reorders or at-once to pre-books being sort of a 50/50 split, and actually maybe leaning a little more towards reorders in the fourth quarter. Is that still about accurate?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I mean, on the first part of your question, in our guidance, we have not really planned on anything out of the ordinary when it comes to at-once orders.
Mitch Kummetz - B. Riley & Co. LLC: Okay.
Blake W. Krueger - Wolverine World Wide, Inc.: Logic would tell us that maybe we can expect some improvement here in this fall given the inventory position of retailers, but we haven't really factored anything material into our guidance in that regard.
Michael D. Stornant - Wolverine World Wide, Inc.: Right. And in the fourth quarter, it really is a pretty good blend of futures and at-once, but again, the future orders for international business are pretty heavy in Q4. So, probably a little more weighted to future orders, Mitch, than at-once.
Mitch Kummetz - B. Riley & Co. LLC: Got it.
Michael D. Stornant - Wolverine World Wide, Inc.: But to Blake's point, we've seen pretty sporadic activity in our at-once trends. Generally, it's been a little bit better, but we've seen some weeks that are great and some weeks that are not great. It's pretty indicative, I think, of the retail channel, especially in the U.S., where when there's an open to buy opportunity and retailers are placing reorders, and when they have to scale back, they just don't. So, it's still not back to normal times, and we're being mindful of that in our guidance.
Mitch Kummetz - B. Riley & Co. LLC: Got it. All right. Thank you.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks, Mitch.
Operator: Thank you. [Operator Instruction] And the last question comes from Scott Krasik with Buckingham Research.
Scott D. Krasik - The Buckingham Research Group, Inc.: Hey, guys. Thanks for fitting me in here. Just a few fast ones. So, can you say how big or what was the Merrell Work launch this quarter?
Blake W. Krueger - Wolverine World Wide, Inc.: I mean, yeah, Merrell launched Work this quarter. Very good position of that product at retail. In the context of the overall Merrell business, I would say a good launch, but not certainly anything unusually significant. So, Merrell is taking a very focused approach here, a very restrictive approach on which retailers it's going to and what channel for distribution, focusing a lot on our own e-commerce site.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay.
Michael D. Stornant - Wolverine World Wide, Inc.: It also didn't get launched until late in the quarter. So, it didn't have a huge impact on Q1.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Thank you. And then, on – did you say you're buying Shoes.com or OnlineShoes.com?
Blake W. Krueger - Wolverine World Wide, Inc.: OnlineShoes.com. Shoes.com, in a related bankruptcy proceeding, and this – we had in Canada and the U.S. That was bought by Walmart, just the domain site, and we ended up buying the domain site of OnlineShoes.com plus the complete database.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. Is that...
Blake W. Krueger - Wolverine World Wide, Inc.: I might just add, for an amount significantly less than what Walmart paid for Shoes.com.
Scott D. Krasik - The Buckingham Research Group, Inc.: Is that an operating site? Are there sales or no?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. Not right now.
Michael D. Stornant - Wolverine World Wide, Inc.: Not yet.
Blake W. Krueger - Wolverine World Wide, Inc.: But it's the database we were most interested in, as well as the domain site itself, but it's the database of consumers.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. And then, just one thing off of Chris's question. So, early look at 2018 to grow revenues mid-single digits, but you kind of achieve a 12% operating margin on flat rev. So, if you do grow revenues in 2018 organically, does that mean that there's upside to that 12%?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. If that occurs, we would anticipate upside.
Scott D. Krasik - The Buckingham Research Group, Inc.: Okay. All right. Thanks very much and good luck.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks.
Operator: Thank you. And we have time for one more question, and that comes from Laurent Vasilescu from Macquarie.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Good morning, and thanks for taking my question. I wanted to follow up on gross margins. I think the last quarter, it was outlined that store closures will lead to 100 bps headwind for the full-year gross margins. Can you tell us how much the impact was for the first quarter? And are you still comfortable with the 100 bps headwind guide?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. In the first quarter, it was probably in a similar range, right in that range, obviously, more because of the closure from the previous year. And that's what we're really talking about, is the – at the gross margin level, obviously, without the benefit of the stores, we lose leverage there. But so the similar impact in Q1, and that's about what we would expect for the full year as we work through the rest of our stores that we're closing and anniversary the store closures from 2016.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay, great. And then I think in the remarks, it was called out that there are some product cost headwinds maybe related to FX. How should we think about the underlying gross margin the first half versus the second half of 2017 if product cost inflation becomes a headwind?
Blake W. Krueger - Wolverine World Wide, Inc.: Well, we aren't seeing any product cost headwinds right now impact the work that we're doing. Really, it's helped us mitigate any of those and actually improve product cost. The FX impact for the year, that can have about a 40 basis point impact on margin, and that's pretty consistent. That's what we experienced in Q1, and you see that being pretty evenly distributed throughout the year.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Very helpful. And then a question on Stride Rite, and I want to follow up on that on the wholesale business. I think in the February call, it was called out that the wholesale business was roughly half of what the Stride Rite retail business. With the Stride Rite...
Blake W. Krueger - Wolverine World Wide, Inc.: .
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Yeah, with Stride Rite now, the store is actually closed. How should we think about the wholesale business for this year?
Michael D. Stornant - Wolverine World Wide, Inc.: I mean, they'll continue to operate on that same level. I don't – we see some progress – obviously, that Stride Rite business includes all of our take-down brands as well. So, we have the Stride Rite brand, and then we have our adult brands that are part of that. It's about a 50% mix of both. Our wholesale business – actually, the Stride Rite wholesale did well in the first quarter, beat their plan in revenue and earnings. We expect the business to continue forward.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Thank you. And then lastly, on Saucony. Just on that mid-single-digit decline, can you parse out how much the U.S. did year-over-year in terms of growth or decline?
Blake W. Krueger - Wolverine World Wide, Inc.: Yeah. I don't have those figures right in front of me, but I think the U.S. was basically flat, maybe down very low-single digits with respect to footwear in Q1.
Laurent Vasilescu - Macquarie Capital (USA), Inc.: Okay. Thank you very much, and best of luck.
Blake W. Krueger - Wolverine World Wide, Inc.: Thanks.
Michael D. Stornant - Wolverine World Wide, Inc.: Thanks, Laurent.
Operator: And that does conclude the question-and-answer session. I would like to return the call to Chris Hufnagel for any closing comments.
Christopher E. Hufnagel - Wolverine World Wide, Inc.: Thank you. On behalf of Wolverine World Wide, I would like to thank you for joining us today. As a reminder, our conference call replay is available on our website at wolverineworldwide.com. The replay will be available until June 6, 2017. Thank you and good day.
Operator: Thank you. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.